Operator: Good morning and welcome to TravelCenters of America Third Quarter Conference Call. All participants will be in listen-only mode.  After today’s presentation, there’ll be an opportunity to ask questions. Please note that this event is being recorded. Now, I’d like to turn the conference over to Ms. Kristin Brown, Director of Investor Relations. Please go ahead.
Kristin Brown: Thank you. Good morning, everyone. We will begin today’s call with remarks from TA’s Chief Executive Officer, Jon Pertchik, followed by Chief Financial Officer, Peter Crage; and President, Barry Richards for our analyst Q&A. Today’s conference call contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and federal securities laws. These forward-looking statements are based on TA’s present beliefs and expectations as of today, November 4, 2020. Forward-looking statements and their implications are not guaranteed to occur and they may not occur. TA undertakes no under obligation to revise or publicly release any revision to the forward-looking statements made today other than as required by law. Actual results may differ materially from those implied or included in these forward-looking statements. Additional information concerning factors that could cause our forward-looking not to occur is contained in our filings with the Securities and Exchange Commission that are available free of charge at the SEC’s website, or by referring to the Investor Relations section of TA’s website. Investors are cautioned not to place undue reliance upon any forward-looking statement.
Jon Pertchik: Thanks, Kristin. Good morning, everyone, and thank you for joining us and for your interest in TA. I’m pleased to report that the earliest beginnings of our transformational playbook initiatives are starting to prove effective. Despite the extensive challenges to demand, operations and management imposed by COVID, in Q3 2020, compared to Q3 2019, we report the following improvements: A 362.4% increase in net income, an almost 30% increase in adjusted EBITDA and a 10% increase in adjusted EBITDAR. This was despite an overall revenue decrease of 19.1%. The improved year-over-year performance was driven by improved leadership, intense focus and discipline in managing expenses, and beginning to execute on operational improvements throughout the organization. These results are unusually positive, particularly considering that we are working through a global pandemic and therefore a much gratitude to express. I want to thank everyone in our broader team for contributing to this outcome, including our great franchisees from porters cleaning bathrooms and showers, to Peter serving as my right hand, and our teammates, both new and old. I want to thank our fleet customers and their drivers for increasing their business with us, RMR for its important support, and finally stockholders who have demonstrated through increasing stock price and market cap, your persistent and growing support as well. 2020-to-date has been a year of planning and preparation as well as a year of aggressively fighting the headwinds of an historic health and economic event. We have installed a new senior leadership team with a blend of new and legacy leaders as part of a major corporate reorganization that resulted in the creation of three new departments: Corporate Development; Centralized Procurement; and Hospitality and yielded approximately $13.1 million in SG&A savings on an annualized basis. We have developed a comprehensive transformation playbook with 40-plus defined initiatives for which each has clear ownership, critical paths and the beginnings of an understanding of potential financial results.
Peter Crage: Thank you, John, and good morning, everyone. As John mentioned, we are very pleased with our results in the third quarter, particularly given the continuing challenges presented by the pandemic. In my remarks that follow, I will be referring to the third quarter of this year as compared to the prior year third quarter, unless stated otherwise. So for the quarter, we generated net income of $8.7 million or $0.61 per share compared to $1.9 million or $0.23 per share last year. Excluding several onetime items, as detailed in our earnings release, we generated adjusted net income of $9.2 million, compared to $1.9 million in the prior year. Adjusted EBITDA was $41.5 million, an increase of approximately $9.6 million or 29.9% compared to the prior year. The increase in adjusted EBITDA was primarily due to reductions in site level operating expense, and selling, general and administrative expenses, partially offset by a decline in non-fuel and fuel gross margin, excluding the benefit of the federal biodiesel tax credit. Fuel gross margin increased slightly to $80.1 million as compared to the prior year, primarily a result of an increase in fuel sales volume and the $9.6 million benefit from the federal biodiesel blenders’ tax credit, partially offset by a more favorable fuel purchasing environment in the prior year quarter. Excluding the benefit of the biodiesel tax credits in this year’s quarter, adjusted fuel gross margin decreased $8.9 million or 11.2% to $70.6 million, primarily due to a decrease in adjusted fuel gross margin cents per gallon, or CPG of 2.8 cents, or 18.1% to 12.7 cents. This was partially offset by an increase in fuel sales volume of 43.4 million gallons or 8.5% to 555.1 million gallons. However, during October, we saw general improvement in CPG against the prior year, as well as continued increases in overall volume.
Operator: We will now begin the question-answer-session.  First question comes from Paul Lejuez of Citi Research. Please go ahead. 
Paul Lejuez: Hey. Thanks, guys. Jon, I’m just wondering if you could talk about the new franchise travel centers, those converted in ‘19 and ‘20. Can you maybe talk about the year-over-year revenue lift that you’re seeing in those centers, relative to before the conversion?
Jon Pertchik: No, I don’t have that -- any detail sitting here in terms of the revenue lift. And that’s something we’ll be happy to follow up with, if you like, in terms of those newly joined -- new members of the fold. But, we’re happy to follow up and give some detail on that. Peter, anything to add to that? Do you have any detail sitting here on fingertips? 
Peter Crage: We have to take a look at those very specific locations and get back.
Paul Lejuez: Okay, no worries. You guys have initiation -- initiatives to increase fuel, gasoline gross margins, store retail service margins, improve operating efficiencies, restaurants. Can you maybe talk a little bit about what things you feel like you’re doing with each of those initiatives, and just how we should think about the timing of when those benefits might kind of hit the P&L? 
Jon Pertchik: Sure. So, I mean, we are definitely in the early innings, maybe the first couple of innings. I’ll give you a smattering of kinds of things we’re doing by each of those areas, and maybe that’ll help reach your own conclusion. And as I said in the remarks, in principal, this was a year of kind of preparation planning, reorganizing, getting our sort of chess pieces on the board. Next year is a year of investing in execution. So, I think, most of the value will be captured while we’ve driven a lot of value through really disciplined cost control this year, and pushing on certain other leavers. But next year, I think, over the course of the year, we’ll really start feeling and seeing the impacts of these various initiatives. As an example, on the fuel side, just October 1st, so that wouldn’t -- this would not be captured in the quarter. This would be early fourth quarter. We -- and I mentioned, in principal, I’ll be a little more specific here in my remarks. As of December 1st, we started purchasing fuel, following a very lengthy RFP process to acquire fuel through contracts, or an agreement for 750 million gallons, rather than many, many little 30 million gallon increments -- of incremental agreements. And we were basically -- we used to buy fuel in the similar volumes to a franchisee or two, and now we’re buying fuel in a much more meaningful way. And so, that is already starting the course through the system kind of real time, just barely. On October 8, also not capture in this quarter, but we’re using pricing analytics to support what we determine should be our pricing. Those are some fuel examples that are going to start to happen kind of real time in one location and soon to be two, we’ve -- we’re selling our own branded gasoline. So instead of TA, it’s TA gasoline, the same way we sell TA diesel. I’m pretty excited about the early signs and results of that. And we’re just a really barely a month into doing that. So, that’s a smattering of examples on the fuel side, where none of that’s captured in here, we’re going to start to see -- we are starting to feel it. And as we get through this year and into next, I think, we’ll see more and more of that. On the non-fuel side, again just a couple of examples and I’ll pause. We have, for example, a VP of Merchandising, our category managers are people making pricing decisions and placement on shelves and what should be where. There was a void in kind of middle level management. That’s one example. That’s real time, and sort of just happening in the last month or so. Similarly, we have roles we’ve created in both the C-store retail and in truck service, where we’ve inserted kind of a middle management role, but I think of it as a compliance kind of role to do nothing more than visit sites, work with teams, and make sure what’s actually happening on site matches what should be happening according to standard operating procedures and creating more accountability. So, that’s just a quick smattering. Those are all sort of just now real time. Some of the things that’ll be growth oriented, that’ll take some growth CapEx, you’ll start to build more of a lag and to see the impact probably, a couple of quarters, realistically, and some that’ll take even longer than that. Hopefully, that’s somewhat responsive to your question.
Paul Lejuez: Yes, very helpful. Just last one for, just a follow-up in terms of the cents per gallon savings you talked about on diesel, the one penny equal to 20 million. What do you think is feasible there, what’s the goal?
Jon Pertchik: I don’t want -- I don’t really have a goal, to be perfectly frank. I’m really -- we’re looking through the new expertise and new senior leadership and then leadership we’re installing at different levels, to look for opportunities, and almost see where they take us. And don’t -- frankly, I think it’s premature for me to put anything out there. Just because, look, I’ve been here 10 months now, Peter, seven or eight, we’ve had a pandemic, our new leadership, our Head of Fuel, for example, just came to us. He was a little bit of a late comer, our group came May 1st, he came about June 1st. It was only a few months ago and takes time for him to get up to speed, get some of his sort of leadership and lower level beneath him and organization constituted. So, I don’t really want to -- well, I certainly have some vision, and for all of our initiatives, we have a vision. And I don’t want to call it an expectation because it’s too raw for that. We have sort of bracketed ranges by initiative of what we are hoping for. It’s just too early for me to put something out. I’m hopeful as we get to the end of this year and probably into the first quarter, I will be giving very crisp responses to questions like that. I just -- I don’t want to set a false expectation prematurely. I’d rather, we’re trying to build credibility here at this company that may have been lost over some period of time. And as part of that, I don’t want to just give a guess or a finger in the air kind of answer. I want to have something crisp, and if I don’t, to tell you what I just told you.
Paul Lejuez: Understood. Thank you. Good luck.
Jon Pertchik: Thanks. Thanks for the questions Paul.
Operator: Thank you. Next question comes from Jim Sullivan of BTIG. Please go ahead.
Jim Sullivan: Thank you. Good morning, guys. Just following on that question about the cents per gallon savings that you’ve talked about before, back at mid-year when you kind of outlined various initiatives, and again, they weren’t targets or estimates, they were kind of aspirational, I suppose, or illustrations as to how positive they would be, if implemented. But, one thing that’s interesting is in this quarter year, your total gallons sold were much higher than the run rate that you had been operating under in previous quarters. And so, I’m just curious, Jon, as we think about the potential positive impact, whether it’s $0.01 per gallon or plus or minus. But, if it were $0.01 per gallon, given the volume levels that you posted here in the third quarter, presumably, you’re confident in your ability to maintain that kind of increase that you’ve achieved. And if so, then therefore the positive impact of the $0.01 gallon obviously would be that much better. Is that fair?
Jon Pertchik: I mean, I think so. If you just isolate the variables, obviously, if we drive more -- materially more volume, then it’s going to mathematically increase. So, I think that presumption or that assumption or that view mathematically makes sense. As we saw this quarter, on the other variable there is -- as the CPG, obviously we all know is volatile, it goes up and it goes down and some factors we can control to drive some of that, and some we can’t. We’re certainly pulling the leavers going forward that we can. But, as an example, this past quarter, the one we’re talking about Q3 versus Q3 a year before, I think, we did 14.4 CPG in Q3 ‘20. ‘19, we did about a penny one over that 15.5. That period saw more volatility in terms of the index and market, which helps us. That’s a good environment for us. And we can drive more value where there’s a differential between wholesale and retail. So, obviously, the answer to that question relies on what happens on that side of things. But yes, that basic is accurate, Jim, subject to what I just said about margin and volatility.
Jim Sullivan: One other question related to the new approach in terms of purchasing fuel where you talk about larger orders -- smaller number but larger orders. To what extent does that entail higher risk on the part of the Company in terms of exposure to higher fixed costs and market changes might otherwise expose you to?
Jon Pertchik: Thanks. So, what -- to be clear, we spot buy. And so, we cancel loads every single day. That process is exactly the same. All we’ve done, and our Head of Fuel brought to us is a very simple thing, and that is, instead of it -- and I’ll be -- what I’m going to say is, illustrative, don’t take it as absolutely factual. But, if in a little region of three or four locations, we would agree to buy from some supplier in that region for a period of a year in a total gallon amount of say 30 million gallons, and then, that’s region A; and in region B, C and D, we do the same thing in these from other suppliers in these little increments, right? We basically consolidated that and about 40% of our gallons are now -- we basically ran a process and we’re now found a supplier to provide all -- all of it in many regions, rather than these little sub areas. So, the risk profile and how we’re purchasing is exactly the same. The difference is we’re working with one supplier and a large volume of gallons. And so, the risk profile is exactly the same as it was before. It’s just, we’re using our scale in a simple way to create leverage and drive down costs and therefore margin up. And that same principal, by the way, as I shared before, we haven’t had a consolidated procurement function before. So, this principal of using our scale and leverage was not embraced historically, for many, many years. I’m not sure why. But both on the fuel side and non-fuel side, that’s a very simple principal, right? And we were just self-inflicting a disadvantage onto ourselves, and we’re not doing that anymore.
Jim Sullivan: Okay. And then, a quick question here on the write-offs in the quarter. Again, I guess, QSL assets were where the write-offs took place, in part. And I’m just curious if we could have an update on how you guys are thinking about the QSL brand. You’ve had the multiple write-offs here. The size of the brand has declined over time. And could you just give us an update of how you’re thinking about that brand and the possibility of either I don’t know, selling it, or closing it or converting it, or what the what the strategy is, given the write-offs that we’re seeing?
Jon Pertchik: Actually, I’ll address that, maybe add what the other item was because I think it fits very much into our sort of worldview of where we’re taking the Company. The other one is also, I’ll touch on that too. But first on to QSL, I think we’ve put out -- we’ve effectively engaged in an exploratory process, to understand the value of those assets, as a potential strategic part of this organization and not. And we’re pretty deep into that process, let’s just say. And as a result of that, it was time to take an impairment. And so, you don’t want to take comparison on the one hand, but it’s in some ways -- we’re on a path of exploring where that road goes, and we’re deep into that path. And so, again, we took the impairment as a result, and it’s certainly the right thing and the appropriate time to do so. The other item that you didn’t ask about, but just to touch upon, because it is a strategic, and it very much fits Walton impairment, there’s a good sort of story behind it or a good purpose that’s very much consistent what we’re up to. There is a sort of a bit of technology that the Company historically had invested in. That was one example, an illustration of a lot of the challenges that we’ve had historically on the IT side that we’ve talked to -- I know, each of the quarters, we’ve talked about this. That is very important to us going forward to create efficiencies and allow this company to really optimize and realize what it’s capable of. A number of those falls in the area of IT. And this is one of them where we basically effectively are writing off of letting go of some expense that was already sunk in a technology that wasn’t going to really be the best in class, wasn’t going to benefit us. There were much better alternatives. And so, we’ve made that decision to go forward on this technology, this was in the truck service part of our business, and as a result had to take our impairment there.
Operator: Thank you. Next question is from Bryan Maher of B. Riley FBR. Please go ahead.
Bryan Maher: Yes. Good morning. So, otherwise besides the fuel margins a pretty decent quarter that you should be pretty proud about. But sticking with fuel margins for a second, and having been involved in this game for over a decade, can you tell us -- and I don’t want to beat a dead horse here. But, was there anything weirdly impacting the fuel margins in the third quarter that you have or could identify which would explain it coming up a bit short of what we’re looking for?
Jon Pertchik: Thanks for the question, Bryan, and again, good to connect this morning. There really isn’t, there was nothing sort of extraordinary. And I’ll share again, I’ll walk through this and maybe it’ll be useful. I know what it is to me. The manner by which we buy the spot buying in periods of volatility, where there’s a vague between wholesale and retail pricing, and we can hold retail pricing up relatively longer than the wholesale side has changed, we make -- that’s better for us, when there’s movement. When you look at ‘19 versus ‘20 Q3, and I looked at this just to have sort of a very fact, sort of mathematical point to make here. If you look at the volatility in ‘19, Q3 versus ‘20, the average daily market change in ‘19 for that period was 2.9 cents. For ‘20, it was 1.9. So, mathematically, there was a lesser -- lower volatility period for us, which caused us to lose, I don’t know, about a penny, a little over a penny, I think it is, comparatively. So, there really was nothing odd. We’re certainly -- that’s something I and Peter look at every single day. I mean, there were not a number of things, right, to run this business. We look at every day, we wanted a very top one, because of how much a part of this Company is diesel, particularly both kinds of fuel, but diesel, particularly volume and margin. And volume has been terrific. And we’re really happy with that, particularly in this period of time, where nine months ago was scary what it could have been, fast forwarding to today, and so, what hasn’t been and we’re really proud of where we are in the volume side. The margin side, it’s something we look at every day. We’re pulling whatever levers, we can every day, playing around with -- moving the gas for a second, on the gas side, greater differentials in premiums are regular. There’s a lot of small levers. And now with the new leader, Jeff Burrell, on the fuel side, he’s only been with about three and a half months, really looking hard at that and his team every day. And we’ve kind of added to that team a little bit. But, that’s where it’s flushed out for the quarter. And I’m excited that as I mentioned, those two data points or facts, I should say, October one with that larger purchasing RFP. And to the analytics, we’re relying on, as I’ve just talked to rate,  I’m optimistic we’ll start seeing a difference as we go forward. But no, there really wasn’t anything sort of odd or aberrant or unusual to offer as an explanation as to where the quarter ended on fuel margin -- on diesel margin, particularly. 
Bryan Maher: Okay. But just to be clear, because I don’t want anybody to get the wrong idea, because volumes were well above where I think a lot of people, ourselves included, thought that margins were down. There’s no intention by the Company to try and compete on price to drive volumes at the expense of margins. Would that be a correct assessment?
Jon Pertchik: That’s a correct assessment.
Bryan Maher: Okay.
Jon Pertchik: We’re not taking active steps to trade margin for volume or vice versa. We’re sort of -- while the variables obviously are very much related, we’re very focused on things that drive volume that somewhat different and detach from just giving up margin, if that makes sense. So what you summarized is correct.
Bryan Maher: And then, you touched upon this in your prepared comments, but drilling a little bit deeper on site level operating expenses, and I really applaud that you’ve done so far, it’s probably the first time in many, many years I’ve been pleasantly surprised with site level ops. But, as you’ve been in the role now for 10 months, and Peter, you’ve been there since the first quarter, when you look at the 900 to 950 millionish of site level operating, what is your gut telling you that you could take it down to. Is it a low-800 number, is it a mid-800 number? I mean do you have -- can you give us any thoughts there on where you see that maybe heading?
Jon Pertchik: Sure, Bryan. And I would love to give you again a numerical answer. I’m not going to as much as I want to. And I’m not quite there, but I’ll say this that the numbers are huge, right, 911 million I think it is, 500 labor, 400 non-labor. So, we’re looking at those two, the labor and non-labor differently, the way you get to a result or an improvement on each of those, the process is a bit different. And so, we’re looking at those somewhat unpacked. We’ve engaged with a number of companies who at least one of them, we will probably seek some help from going forward to dig into this, to supplement Peter’s team, just because there will be a heavy lift that will take a period of time to dive into these really deeply and get us to a place of kind of optimization or close to that. But, in the process of interviewing a number of companies, number of firms, we heard some very lofty potential, and I emphasize potential. But, I was encouraged what I was hearing from folks who do this for a living. Granted, they’re trying to persuade us into hiring company A, versus B, versus C. But good companies also are careful not to over commit and then under deliver later. So, I’m really encouraged how far we can go here. But, at the same point, until I get into it and I feel good about, I look myself in the mirror and say from 900 -- the 500, we can get to X, 500 minus and the 400 of non-labor, we can get from 400 to Y minus. So, I can look myself in the mirror with something and have deeper contact with it. I really don’t want to set an expectation, even directionally. Again, really important right here is for us to build credibility and trust, back from you guys and from the market with authenticity. And if I start loosely throwing things out there, it’s contrary to that. And I’m reluctant to do that. Peter, if you want to add to that maybe?
Peter Crage: Yes. Brian, if you look at the year-to-date, we’ve cut quite a bit, 655 from 709. But, I just want to remind everyone that we have a burning platform here this year. The pandemic has caused us to make a number of decisions you might not make in a normal year, yet in that normal year, you might expect revenues to increase. So, an absolute dollar amount, we’re spending a lot of time right now, as we put our budgets together for 2021, so that we ensure we identify what is sticky and what isn’t sticky vis-à-vis hopefully some modest growth in revenue next year. So, an absolute dollar amount is difficult to predict and absolute percentage is difficult to predict. Having said that, focusing on what’s sticky, so that we can drive increased free cash flow. That’s how we think about it.
Bryan Maher: Great. And just last for me and kind of quickly, the IHOP, you touched about it in your earnings release. And I think, I might’ve noticed a $1.4 million number for conversion versus I think maybe a year ago when this first came up, it was like 1.1. Am I reading that right? Is the number of potential cost conversion increasing, and could that influence your decision to pursue that in scale?
Jon Pertchik: Thanks, again. Good question, Bryan. You’re absolutely right. By the way, the number, when I sort of got here early in the year was about the 1.1 exactly. Your recollection is spot on. And after the experience of opening, the first one in South Atlanta, the real numbers came in a bit higher, closer to 1.4. Now, it would be very easy to sort of build in and bake in something closer to 1.1 that we’re going to get better at, you start doing more of it, et cetera. That’s not how we look at things. We tend to be very conservative. So, yes, the number did go up. And for now, the 1.4 is more of a real -- an actual number from a one-off and I’m hopeful, and even maybe optimistic we’ll do better than that, but that’s not how we plan here. So, that’s the number. The differential, sure, it could -- around the margins, it could make a difference as we pro forma different locations. And we are developing pro formas that are peculiar to locations, because different markets will behave differently. The 300,000 could very well be this positive, it could put us above or below a threshold that we’re not comfortable with. On the other hand, we’re only -- our agreement really calls for 20 total, with the option to do much -- many more. We have enough sites. I’m hopeful of this, I don’t yet know. But, I believe in sitting here we have enough sites that if 270, total non-franchise 230 plus, that 10% are going to pretty for sure have an IHOP, that we can figure that. Out of every 10 we need 1. So, yes, I think, the math will end up working out. That’s my just gut check. That’s not anything more than a gut check. That’s a map we’ll workout with that slightly higher number -- or higher number, not necessarily slightly higher number as we get into it.  But again, as we also open a hand, we’re not going to just tomorrow go open 20. We’ll do a handful, several more and build on that. We’ll learn as we go, hopefully, we’ll start seeing efficiencies. And then, based on those efficiencies, perhaps the 1.4 comes back down to a 1.1, or 1.2, and then we continue to learn and improve how we think about things, how we model things, and then ultimately how we make choices and decisions.
Operator: Thank you. Next question comes from Chris Sakai  of Singular Research. Please go ahead.
Unidentified Analyst: I just had a one question.  any numbers behind this, but I just wanted to get your feeling on this. As far as the restaurants are concerned, could you give a proportion of total restaurants that are out -- currently outside? And if you don’t have that, any sort of -- just any sort of idea there? Thanks.
Jon Pertchik: Chris, just if you could clarify, when you say the restaurants that are outside and just share -- I want to make sure I’m responsive. So, if you can share with me what you mean, so I can again, be appropriately responsive.
Unidentified Analyst: Well, the out outdoor dining.
Jon Pertchik: Okay. So, the restaurants that I have visited, every one I’ve visited and I don’t know if Barry, you want to chime in after me, if you have -- can clarify or correct what I’m about to say here. But every restaurant I have visited has -- a full service restaurant has indoor seating. A few of them -- actually more than a few, many have an opportunity to sit outside, whether it’s to eat that meal or to just sit and enjoy a soda or just take a break before getting back to your truck or car. But, I haven’t visited one that had, sort of exclusive seating outside. Barry, is that correct? Can you just…
Barry Richards: Yes. Jon, that’s correct. For the travel centers. The Quaker Steak & Lubes, however, almost all of those have outdoor seating on their patios and kind of helped us get through this pandemic, but nothing on the TA side.
Unidentified Analyst: Okay. Yes, just because I wanted to get an idea, of -- as we head into the winter, what is being planned for as far as maybe these -- I don’t know if it’s possible for these outdoor dining areas to be sort of sheltered or indoor?
Jon Pertchik: Yes. I don’t -- my perspective on that is I don’t think that will have a material impact on the business or even the FSR, the full -- I am sorry, the full service restaurant part of the business. As you know, just going back a moment, a brief historical comment. When we first hit the pandemic in call it, early March, our sales went down for that part of the business by 90%. And as a result of that, we sort of took this, imagine third month as CEO, first -- couple of -- fist month for Peter as CFO, we took a fairly aggressive and quick response to that, separate from our transformational plans. And we furloughed 4,000 people. We’ve opened restaurants back up very cautiously, very carefully, in some places as permitted by the authorities. In some, we still chose not to open because we didn’t see the demand there. We will continue to run these restaurants with intensive, intensive discipline and focus. And as we shared, certain things we’re doing as we reopen, for example, the face -- have not reopened, we’re opening with much fewer menu items. But menu items that are professional drivers have voted with their wallets, by what items sold in volume and at a reasonable margin. And so, we’re only selling those items. So, we’re going to continue to operate these restaurants, as well as consider alternatives to how we operate our restaurants, whether outside brands like IHOP or others, to potentially even other -- on a case by case basis, potential other uses for those spaces. So, we’re going to continue to evaluate and consider all of that. And I’m not particularly concerned, as that being a factor and impacting the overall Company performance. We’ll just continue to adapt as necessary, as we’ve proven we can through the second and third quarters with respect to demand on this part of the business.
Unidentified analyst: Okay, great. Thanks. 
Jon Pertchik: Thanks for the question, Chris.
Operator: Thank you. Next, we have a follow-up question from Jim Sullivan of BTIG. Please go ahead.
Jim Sullivan: Yes. Just a quick one. Again, back in mid-year, you talked about the introduction or the development of a truck service rehab program and you were estimating that that would boost the margin for that retail for that nonfuel segment. You did have a nice increase in truck service -- the truck service line on a sequential quarter basis. I know that line item is going to be very much impacted by weathers, and therefore can be very volatile. But I just wonder if -- when we look at the third quarter for truck service, is that rehab program impacting that business yet?
Jon Pertchik: Thanks again, for the question, Jim. There are a lot of levers we’re pulling that I think are impacting that part of the business into how we engage with our customers, to that role that you just referenced this rehab, and we created a role under a gentleman who was really in -- and I referred to it indirectly before as creating more accountability in truck service. We have the same exact role based on the success of that person and that role, we’ve now done the same thing in the C-store a month later. And it frankly, it may even drive broader organizational change, just having this mid-level manager with a different purpose, and driving accountability. So, well, there are a lot of levers we’re pulling, and I think a lot of different contributors. And it’s a little tricky to -- it’s a little confounding because there’s so much going on. But that’s what intent that it’s hard to isolate variables and say this exactly contributed that much. But, I absolutely believe the single biggest contributor to that business so far and how it’s performing is this what you described is that truck service rehab and the creation of this sort of increased accountability role that I just described. So, thanks for the question, Jim.
Jim Sullivan: Okay, great. Thanks.
Jon Pertchik: Thank you.
Operator: This concludes our question-and-answer session. Now, I’d like to turn the conference back over to Mr. Jon Pertchik.
Jon Pertchik: Well, thanks to everybody for listening this morning. Thanks for your interest in TA. And have a great day. Thanks, everybody. 
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.